Operator: Good day, everyone, and welcome to the Consumer Portfolio Services 2018 Second Quarter Operating Results Conference Call. Today’s call is being recorded. Before we begin, management has asked me to inform you that the conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Such forward-looking statements are subject to certain risks that could cause actual results to differ materially from those projected. I refer you to the Company’s SEC filings for further clarification. The Company assumes no obligation to update publicly any forward-looking statements whether as a result of new information, future events, or otherwise. With us here now is Mr. Charles Bradley, Chief Executive Officer and Mr. Jeff Fritz, Chief Financial Officer. I would now turn the call over to Mr. Bradley.
Charles Bradley: Thank you, and thank you everyone for joining us on our second quarter conference call. I think looking at the quarter it's hard to be somewhat repetitive or we are going to be somewhat repetitive, and it's about what we would expect. We are very much, and what I loosely call a holding pattern, we've been talking about the industry every call for the last two years in terms of what the industry is doing. And at this point, I think the real focus is on the industry. In terms of the Company, we think the market is still very competitive. There is still a very aggressive buying pattern from our competitors and there still for us. In light of those two things, we really continue just to focus on credit and collections. We want to improve what we buy. We want to make sure we are buying the best paper possible and probably just to continue to improve the trend in terms of what we buy. But also on collections, we have been focused on collections for years. At this point, I think we've got all going the right way and we are beginning slowly but surely to see some results. We again want that to continue and we work on all the different branches and all the different aspects of collections to make that happen, and we are seeing good results. Charge-off and delinquencies were basically flat. I think that's actually pretty good given the fact that we are not growing. If we grow the portfolio, it has a tendency to mass those numbers rather effectively. So for us to be on maintaining those numbers in a portfolio that is not growing then we think we are doing pretty good. And lastly, we did do a $40 million residual deal. We haven't done within a few years what when we thought the timing was pretty good, the cost of funds is pretty good or to put another way, the cost of funds in terms on that deal was best we have borrowed long-term capital ever in the history of the Company by a lot. Normally that kind of capital costs something in the double digit kind of number and this was substantial less than that. So for us, that was an excellent deal and one we sort of almost couldn’t turn down in terms of the opportunity that will provide money some for working capital and some of hopefully a rainy day to do something, if we can get some results in the industry going forward. And I’ll tell a little bit more about all those different things after we go through financials and I’ll turn it over to Jeff to do that.
Jeff Fritz: Thank you, Brad. Welcome everybody. We will begin with the revenues 99.4 million for the quarter, that’s down 4% from the first quarter this year of 103.6 million and down 10% from the second quarter of last year. For the six months 202.9 million that’s down 7% for the six month period in 2017. So, I mean, you can see kind of what's happening here. There is couple of things that influenced these numbers. First of all portfolio sequentially and year-over-year is actually down slightly as a result of the origination volumes that we've been doing. But more significantly with the adoption of the fair value accounting effective with the 2018 originations, the revenue recognition on that segment of the portfolio is net of the consideration for the impact of losses. And so, the trade-off as you recognized a little bit less revenue, but as you will see in a minute and you may have already noticed, there's no provision for credit losses on those fair value receivables. Looking at the expenses, $94.7 million for the quarter, it's down 4% from the first quarter this year; however, up 7% from 102.1 million for the second quarter last year. For the six months, 193.7 million is up about 4% for the first six months of the last year. I think there is some modest increase in a couple of core categories where it looks like a significant increase year-over-year in the employee cost. But I think as we mentioned on the last call, again, the fair value accounting requires results in immediate recognition of significant employee cost related to the originations of the receivables that would otherwise be deferred over the life of the receivables under the traditional accounting. Looking at provision for credit losses, $35.5 million is down 12% from the first quarter this year, down 27% from the second quarter of 2017. And on a year-to-date basis, provisions for credit losses $76 million, down 21% for the first six months of last year, as we talked about no provisions on the fair value portfolio. The existing portfolio is seasoning and is going to continue to run out, as the provisions and the allowance for that should also decrease more or less on the same basis. Pretax earnings $4.7 million for the quarter, that’s up 2% from 4.6 million for the first quarter this year, but down 41% compared to the second quarter of last year. Six months $9.2 million and pretax earnings is down 41% compared to 15.7 million in last year's six months period. Net income of $3.2 million, that’s up 3% from the first quarter of this year, but down 30% compared to 4.6 million for the second quarter 2017. Six month numbers for this year's net income $6.3 million is down 31% compared to the 9.1 over the last year. Diluted earnings per share of $0.13 is up a $0.01 or 8% compared to the first quarter of this year and down 24% compared to $0.17 in the second quarter last year. Year-to-date, our diluted earnings per share of $0.25 is off $0.07 compared to the $0.32 for the six months last year. Moving onto the balance sheet, as Brad mentioned, we did in May and the second quarter of this year completed 40 million residual financing, that's a significant boost on our liquidity position, that doesn’t manifest itself directly when you look at the balance sheet cash essentially what it allows us to do is to hold more receivables that are in the -- that we are holding them prior to the securitization financing and allows us to use the warehouse facilities a little bit less than savings a couple of bucks. On the warehouse financing, the other thing you noticed when you look at the balance sheet, you can see we make a distinction between the finance receivables and the allowance for the finance receivables which are both down about 10% in the sequential quarter and almost 20% year-over-year. And in place of that reduction and that asset class, we have this growing assets class of finance receivables at fair value which now represents about 20% of the managed portfolio. Otherwise, the only sort of difference in the balance sheet as you see the line for residual interest financing which represents the $40 million transaction that Brad alluded to you. If we look at some of the other performance metrics, the net interest margin for the quarter was 74.2 million that's down 7% from the first quarter of this year and down 15% from the second quarter of last year. For the six months, $153.7 million is down 11% for the first six months of last year. The blended cost of all the asset-backed securitization on the balance sheet for the quarter is about 4.2% and that compares to the increase compared to 3.8% a year ago going. And so, you had a couple of things going on the market asset back market. The benchmarks have certainly gone up pretty consistently or regularly throughout the last 18 months or so. And we've been able to offset a significant amount of that with somewhat better credits for the execution, but you've certainly seen a general rise in the cost of funds to the asset-backed debt. The risk adjusted margin which takes into the account the provision for credit losses, $38.6 million is actually down 1% from the first quarter of this year, but up about 1% from the first quarter of last year. Similarly, up 1% for the six months numbers. So what you see there, what we see there is that the reduction in the provision expense has partially offset the lower net spread as a result of the somewhat higher cost of funds. Core operating expenses were down just very slightly 1% at 34 million for the second quarter compared to the first quarter, but they are up about 12% compared to 30 million a year ago. For the six months, core operating expenses of $68 million is up 12% compared to the six month period last year, again a significant component of that is the employee costs which were deferrable in the previous year, but are not deferrable in the current period. Those would represent approximately $3 million worth of cost that we recognized this year that we could not defer. The core operating expenses as a percent of the managed portfolio of 5.8% is down slightly from 5.9% in the March quarter this year and down about 12% compared to 5.2% in the second quarter last year. The six month annualized number of 5.9% compared to 5.2% in the six months last year. Again, the smaller managed portfolio is contributing somewhat to that ratio as well as somewhat higher cost. Then return on managed assets, pretax 0.8% for the June quarter is flat with the first quarter and down from about 1.4% in the second quarter last year. And the year-to-date number again at the same 0.8% compared to 1.4% last year. Fair value and the [indiscernible] portfolio all contributing to those trends. Looking at the credit performance metrics, briefly, the delinquency number is 10% compared to 8.7% in March and 9.6% a year-ago. The loss is 7.5 -- 7.6% actually down from the first quarter of 8.2% this year. So, all of these numbers reflect, I think what Brad alluded to which was pretty reasonable stability in the servicing operation, and the credit performance might be seeing a little seasonal increase here in the second quarter. But for the most part, I think of these are in line with our expectations. Just going back and looking at the asset-backed market briefly and I talk about the compares spread, we are -- our second quarter deal, we completed in April and that was 2018 being $202 million. We had a 3.98% blended coupon and we had just slightly higher spread execution compared to the January deal, but then really our third quarter deal which we completed just the couple of weeks ago, although the all-in blended coupon was a little bit higher. We actually had better spread execution in that deal, the July deal than we've had in the April deal. So, I think the observation there is that the asset-backed markets continue to be very, very receptive to our bond offerings and it continues to be a very bright spot in the business. And with that, I'll turn it back over to Brad.
Charles Bradley: Thank you, Jeff. And talking about the Company and it apartments, marketing, there was a time when we thought that our business has become a bit of a commodity, but all we want to make sure the dealers had things like dealers tracking such. We really thought that we have the best product, you just get the business and that's turned out to not be so true. It turns out being in the dealership, working with the dealers is really the best route to getting their business, it doesn't quite follow the footprint of gee everything is automated and easy, but nonetheless. So, we've have a little bit of focus to switch back to put more boots on the ground, more people in the field and that's been our focus this year and it's been becoming more effective. Obviously, being it more people in those different cities and they are doing, getting the results we would like will be able to grow that way. So, we really can't grow competitively as we'll get to in a minute, but we can't grow by adding more people. So, one of the focus is to get more folks out there and grow that national footprint as much as we can. In terms of originations, origination is going just fine. They can buy as much as we can throw out them. The problem is I'm trying to get enough stuff to come through the door. With that, we've been focused on improving our scoring model, trying to tighten certain areas, find better areas that are performing really well and maybe losing those slightly. But the two together was improving the model and the keeping originations, as the gatekeeper for good credit is as the effective combination we've always had and we will continue to work on. In collections as I mentioned earlier, we now think we’ve got everybody where they suppose to be. We’ve got the right staff. We got the right management, the right staffing. So, we’re really beginning to get a hold on what we want to do. We were growing the numbers would wonderful. The fact that we’re not really growing, the numbers still look good but not great. So, we’re going to continue to work on that and then hopefully the numbers will improve even without growth. And hopefully sometime sooner than later, we’ll get to grow again and then we’ll be able to prove them much more dramatically. But either way, collections appears to be going right way and we’re happy with those results. In terms of securitization, the market still is very strong as much as the cost to fund as Jeff alluded to. And as I mentioned earlier, it continues to go up quarter-by-quarter, little-by-little. I mean it's still not an overly expensive market, but it is substantially higher than it was before. But more importantly at some level, it is the ease of execution that is still there and we capital markets wide open. We're to doing Securitization. That CPS product is very well received. We had no problem getting those deals done. And so, on the fact that we’re able to go and do a residual deal fairly easily is also a good thing. And the fact that I mentioned earlier, the cost of funds in that deal was the lowest we've had for raising that kind of capital. It shows you that our parts of this market that we can really work and do good things worth. Having said that, now we can move onto the industry. The industry is becoming more interesting everyday and we might also say finally it's becoming more interesting because we have been waiting now for what seems like forever but probably is more like two years to really see, even everyone in the industry are people we know in the industry is talking about consolidation and has been for years now. It certainly appears that maybe we are finally getting very close to those things happening. And what sort of interest and we did show some numbers out there. Our APR, a couple of years ago was 19.5, generally for a long, long time, the APR has been in those high 19s. Today, it's dropped into the high 18s. Our acquisition fee which used to be something like a point is now almost negative a point. And so, if you look at those numbers and certainly CPS is in a position being in the industry for so long. We sort of could be -- sort of maybe the middle ground of the whole world out there. But for us, this hearkens back to the time when the banks were in, only when the banks who had lower cost to funds, when they were competing with us where these numbers is almost exactly the same as they are today. Now what's interesting is, there aren't any real banks competing with us. Certainly, Santander Consumer is a bank, but for the most part everybody is still doing the same thing, everybody is getting the money or using the funding through securitization. So everybody is playing in that market. So on the one hand, the prices securitization is creeping up, It's up almost a full point from a couple of years ago like 3 years ago and it's up almost a half point from a year ago. So, on the one hand, the competitive nature of pricing both acquisitions fee and APR is going down yet the cost of doing business is going up in terms of your securitization costs. So that shows you that the margin in the industry is getting more and more interesting everyday and yet with the car industry is slowing down and card dealers margins being pressed, you kind of wonder where the business is going. Yet, a lot of people out there are growing, and a lot of people out there as everyone knows need to grow. There is probably a tier of larger players and then a tier of medium players. For the most part, a couple of years ago, none of them were making any money. Now, they are all starting to grow, but the reason they are doing well is because they are growing so fast. Tremendous growth will show much better improvement in delinquencies and losses, it can show you’re buying a lot of paper, you can make some money. But everybody said, these companies out there need to do something whether it's to go public, whether it's to consolidate, whether it needs to come up with the model that works, so they can get bought. Remember that most of these companies today are backed by PE money. And so, we want to see how this goes, it certainly know -- it’s certainly common nudge. Santander is consuming a separate [indiscernible] their numbers out there the other day. What’s a little interesting at least we thought is, a third of portfolio is Chrysler, but two thirds of their originations is Chrysler. And so to the extent, yes, as you get that deal done that will change the dynamics of that business a lot. And so, we’re very interested to see that seems to be negotiations today, so probably Santander Consumer USA is a largest player in our industry. One of our direct competitors having some result there will be very interested to see, how the place in the industry and how that plays through us. There are other companies out there that are looking to do things too, whether it’s to go public or make some change. And again, they all seem to be growing and doing different things. Sooner or later, this is going to have to change and come to ahead. We think that time is fast approaching. Unfortunately for us, we’re not in a position. We’ve been --we’ve don’t have PE money that we need to do something with. We have been profitable for a long, long time. We would like to grow again. We like to get more profitable. We like to get our stock price up. It is very difficult to do. That if you take all the pieces I just describe, it is a very tough environment to sort of grow sort of what we feel is the correct way. But we’re working on it, we’re doing everything we can. So that when these change which we think hopefully we’ll be in six months or a year or less, we’ll be in a position to take advantage of the changes in the marketplace and really get back and gain in the big way. But for now, we’ll just going to have to wait and see. It is interesting that again, there aren't big banks playing at the cost, the competitive nature is like when. So, we will see where we go. In terms of overall economy, we probably think the economy is fine kind of probably find rest of this year and all of mix. After that, we probably get more guarded in our appraisal and what’s going on going forward. But finally, I think patient is the keyword here, is to see what happens in our industry and hopefully that will happen in the next six months to a year. So, we’ll take questions at this point.
Operator: The floor is now open for question at this time. [Operator Instructions] Thank you. Our first question comes from John Rowan of Janney. Your line is open.
John Rowan: Brad, if it's so difficult to grow responsibly in this environment, right. Why not cut cost? I mean if I look at your net revenue, right. There just kind of eliminate some of the issues with fair value accounting. Your net revenue is actually up 4% year-over-year, but your operating expenses, even when I back out that $3 million a penny non-recurring employee cost, they are up 4%. I realize there is not a significant difference -- there are 5%. There is not massive chasm between those two numbers. But without kind of the timeframe is to win or when you get back to responsible growth. Why not cost in this environment because obviously your net income and everything is down pretty substantially year-over-year?
Charles Bradley: The part that I somewhat agree with that is I think in a position we’re in today, the problem is if we cut cost also need to grow then you really wasted all the quality people you’ve hired and grown into the positions. For us to truly cut cost is, people cost is the most expensive part of our business by far. We’re not -- I mean to close a branch, it was substantially hurt what we're doing. And so, we do have some sunk overhead at this point. We had some space. We could probably contract some. But like you said in the end, we probably have to go through a fairly significant effort that really cut some meaningful cost would take some real moves. And at that point, we would then be about as soon as we want to be to the extent it's a growth environment. But the problem is as a year ago, if you told me a year-ago or two years ago, the next two years are going to be super slow, we're going to have sit around and wait. We would have cut cost like crazy. To the extent, we thought and everyone in the industry said, this is going to -- this is consolidation is going to happen in '16 and '17. We thought we are in the right spot. Today, I think we are in the right spot given what's going on sort of in the world today. So with that, we had to stomach those cost for what almost is the 1.5 year or more, and I wonder whether it's wise to not stomach then for six more months. I think given where we see sit, we're in the much better position to take advantage rather than sort of take those cost. And to give the analogy I guess the part we would sort of like to take credit for is in 07 or 08 and even back in 01 when these other recessions hit, we probably cut cost faster, quicker, more deeply than anyone in their entire industry and that benefited us greatly, but we also knew what was going on. We knew that tough times are coming through next few years and we cut quickly, we didn’t say, gee, we'll hang in there and while it will be okay. We did what we needed to do very fast and very efficiently and it paid very large dividends. Today though, we don’t have those circumstances. We don’t know that is going to fall out in the next couple of years. Couple of years from now, we may be facing some other recession and have that choice. Today, there is enough noise in the industry between those big players and a lot of medium players, probably having the staffing as much as it's more expensive today would pay far better dividends in the future. It's almost like raising a capital. We didn’t need that money, but it was a cheapest capital we've seen in 20 years. And yet to extent we can have an opportunity use it, it's going to be the best money we ever expect, knowing the golden rule or whatever the rule is that when you most need money is when it's mostly expensive. And so, the time to raise it when it is and when it isn’t. So I mean I think your point is well taken, but we also think we have enough things coming on today to justify where we sit. Again, hindsight is always 2020. And if I had known we had two years to slow or to sit, we might have gone a lot slower and building the staff or keeping the staff than we would have now. But when I think the six months to a year and most it might be sort of tougher to make that change today.
Operator: Our next question comes from David Scharf with JMP Securities. Your line is open.
David Scharf: Brad, I hope you won't be insulted when I say the commentary and competition in the asset-backed market so forth. I mean it pretty much sounds exactly the same as what we've been hearing for the last few quarters. So, I won't probably you with questions on those. But maybe following up on John's question, first of all, can you remind us how many cities or regions you are in? And as you think about adding bodies this year, I mean, what's the magnitude of expanding your footprint is supposed to look like?
Charles Bradley: Well, the easy answer is, net of all, we're not going to add any anybodies. At this point what you really do is just sort of fine-tune. You'll think like there isn't performing, you lose those collectors. We're not adding or replacing new collectors. The portfolio -- the one of the problems is that obviously the portfolio ages, its going -- and even at this point, it stays relatively same. The balance is dropped. The count number is down. So, you still need folks to service those accounts even though the overall dollars drop and we don’t make quite as much money because of that, you still have the counts to service. But the easy answer is, we have plenty of people, we have enough people and to the extent, we have people now underperforming. Those people go and that’s how we cut the workforce and that goes across all levels of the Company collections, originations, marketing whatever it is. The only place where we’re still adding folks, and again, I am not so sure even that really a net positive is in the marketing area. So to the extent we had a few folks there, I would easily say that short of something changing and the industry or us getting a portfolio to service or something in that nature, we would see the headcount shrink rather than grow for the rest of this year at least. I think if something doesn’t change -- at this point what we’ll probably do as I said, nothing will change the rest of the year in terms of growth, if anything, you subtract to the extent that portfolio being able to to shrink then we would subtract accordingly with that. We have five branches, three in the East Coast or two in the East Coast, one in the Midwest and one in -- and two sort of in the West. For us to make a real monumental change, we would have to wipe out one of those branches. And it just wouldn’t be the smart thing to do it. It takes so longer to develop a branch, have it function and to be totally performing at a great level, which they all are at this point and it actually something is hard to say in any business and why we have been running at is taken a while without those five strong centers. So, we wouldn’t really want to close one just to save cost, if we thought we would need one then we would have to it again. And remember that in the growth mode which we hope to adventure soon or at some point this year and having us five branches is the fastest way to grow effectively than we’ll be able to serve as a portfolio. So, that’s what we have those five branches we wouldn’t expect the headcount to grow in all this year and we’re going to get and hope something happen. If this continues much longer, we would probably look to do something.
David Scharf: And as we think about the spread landscape over the next 6 to 12 months, I mean you had noted how pricing is down at the high 18s kind of a 100 basis points of it where you would typically see the industry as part of the cycle. We’re certainly counting that on funding costs continuing to creep up notwithstanding the tightening spreads you have been able to benefit from. But on the pricing side, do you feel comfortable that high 18s is a reasonable floor that we should be thinking about over the next year? Or are there any indications that it might come down lower?
Charles Bradley: I mean I think I would like to think that is. The easy answer is much like the auction results. We thought long time trended down and they've now flatten out about where we thought they would. We probably make the same assumption on the APR staying give or take where it is, it could drop a little bit a more. I don’t see it dropping substantially. Again, if you take everything I said, the APR is down, the acquisition fees is down, the costs to funds are up. Lots of folks are growing. Lots of people bought a lot risky paper and to the extent they’re trying to grow now or buying probably riskier paper still. This isn't going to last. It just can’t. And so, [indiscernible] I feel strong with more stronger today given the news in the last few days, the last few months that we have done the right and we just going to have to see. But to your question, I think the APR should hang in there. I don’t -- I can’t imagine that it would be more competitive pressure beyond what there already is given the state of affairs going on.
David Scharf: Yes, fair enough. That’s consistent with what we’re hearing from a number of folks. And lastly just on the capital allocation, obviously, you’ve always been in a sort of re-purchaser of your shares at these levels. I mean the stock is obviously retreated in the last couple of weeks ever since that 2 million share warrant. Was exercised and represents a new overhang? I mean, is there any potential to sort of take out that 2 million position in a one-off transaction?
Charles Bradley: I mean there is always a potential for us. I think we talked to folks and sort of they have a conversation about it, I think it’s unfortunate that is coming into the market, but it certainly can’t last forever and given and wherever so active buying shares. So, it is an overhang, I don’t see them lasting them a long, so we’ll see. We talked to the more frequent basis.
Operator: Our next question comes from Kyle Joseph with Jefferies. Your line is open.
Kyle Joseph: Thanks for taking my questions. Most of them have been asked. We talked about yields. We’ve talked about cost and funds. But just in terms of your newer vintages just wanted to get a sense for the economics on these vintages entities versus the legacy book. And the one real fact that we haven’t covered is the losses, but just the lost content on the new book you’re originating our fair value and how that compares to your legacy book?
Charles Bradley: Well, we would like think that everything we originated since the middle of 2016 better than we have originated before. We also probably would safely say that overall everything we’ve originated since early 2013, is better than we’ve done in the past. So, that we would expect that trend it continued, our target loss numbers 16%, I think we may have already gotten there. It's hard to tell you that, but that’s certainly where we’re looking to go. I think probably our high watermark, certainly we have people they’ve got as high as 18%. We have people that have approximately 17%, 17 range. So, again what we think probably if I'm going to guess really as you get guys you probably argue that our pools in that 16 range at this point. It could be better. It’s a little early to tell just exactly where they are today. But we like where they are going that's as good as I can say today.
Kyle Joseph: And then just on in terms of modeling going forward and looking at the provision and the allowance this quarter, should the allowance on the legacy portfolio kind of wind down at the same rate the overall portfolio? Or is it a little bit of the delay there? Just wondering because looks like the reserve wasn’t in fact increase on a year-over-year basis, if you look at the AOL. So just wondering about the cadence to that?
Jeff Fritz: I think Kyle what you’ll see is, the allowance as a percentage of the legacy portfolio will even at the provisions come down. I think the allowance as a percentage of that portfolio will trend upward slightly as we go through the year and then it will sort of level off. If you recall, the methodology we employed for the allowance was to grow the allowance and new originations over the first 12 months. And so, like where we’re at today for example, everything in the legacy portfolio except for the last six months of 2017 originations has a full just kind of 12 months allowance. But by the time we get to the end of the year, everything in the legacy portfolio will have a full 12 month allowance. And so, I think what was your observation should be for the rest of the year is a slight trend upward for the allowance as a percentage of the portfolio -- excuse me, and then a leveling out there after.
Operator: There are no further questions. I'd like to turn the call back over to Mr. Bradley for any additional or closing remarks.
Charles Bradley: Thank you. I think that we could almost see -- feel some of the frustration from the call, but trust me, we feel just as much. We think we have a very good model. We think we have a very good set up. We would like nothing better than to start growing the portfolio and start getting a bigger share of the market. I can only hope that will happen sooner. We are doing everything we can to expand our marketplace, our footprint and growth that way. But at the moment, you can see the compression between the spreads and the margins coming in. There is absolute, folks pushing to get things done here. And the best way to -- if we wanted to do something, we would grow real fast by as much as we could. We cut our cost to do it and then go where we want to go. That's not our game plan, but so we have to wait and see what other folks do. But hopefully we will see soon. Certainly, some announcements folks have made in last few months, last few months to six months. Those announcements should come through in the next less than six months. And then, we will have to see where we stand then. Again, thanks everyone for attending and we'll speak to you in next quarter.
Operator: Thank you. This does conclude today's teleconference. A replay will be available beginning two hours from now until August 1st at 4:00 PM Eastern Time by dialing 1855-859-2056 or 404-537-3406. This conference identification number is 25558910. A broadcast of the conference call will also be available live and for 90 days after the call via the Company's website at www.consumerportfolio.com. Please disconnect your lines at this time, and have a wonderful day.